Elizabeth Wilkinson: Good morning, everyone. Thank you for joining us to discuss Mineros' fourth quarter and full year 2025 results. I am Ann Wilkinson, Vice President, Investor Relations, and I am joined today by Daniel Henao, President and CEO; Sergio Chavarria, Interim CFO; and Juan Obando, Director of Investor Relations. Before we begin, please note that today's presentation includes forward-looking statements based on management's estimates and assumptions. These involve inherent risks and uncertainties as detailed in our cautionary note. We encourage you to review our management's discussion and analysis and the 2025 year-end financial statements available on our website in order to understand the risks inherent. Following our formal remarks, we will hold a question-and-answer session. You may submit questions at any time through the webcast portal. Please be advised that this call is being recorded, and a replay will be available on our website within 24 hours. With that, I will turn the call over to Daniel Henao, President and CEO.
Daniel Villamil: Thank you, Ann, and good morning, everyone. 2025 was a pivotal year for Mineros, defined by a disciplined approach to our mine plans and a focus on high-quality production. We are pleased to report that we exceeded our full year guidance, delivering 227 gold equivalent ounces. This achievement reflects the steady performance of our technical teams and continued commitment to maximizing the value of our existing ore bodies through operational excellence. Our operations in Nicaragua continued to deliver. In December alone, the asset reached a production milestone of 16 gold equivalent ounces, demonstrating the steady progress we are making in optimizing throughput, recoveries and grade management at the site. The combination of higher production volumes and a positive gold price environment resulted in exceptionally strong financial performance with revenue reaching $800 million, a 48% increase year-over-year. This operational outperformance generated a record adjusted EBITDA of $358 million, a 71% increase over 2024. That represents approximately $1 million in EBITDA for every single day of the year. We also delivered on our lengthy track record of returning capital to our shareholders through the payment of $30 million in dividends, $12 million through buybacks. And on top of that, we delivered an impressive 275% share price appreciation and received the TSX 30 designation. That means that Mineros outperformed 98% of all companies listed in the Toronto Stock Exchange in the last couple of years. We were also the top performing equity in the Colombian Stock Exchange for the second consecutive year. Beyond our record financial metrics, I am most proud of our team's commitment to delivering these results safely and reliably. In our view, there is nothing more important than keeping our people and our communities safe. And this year's performance reflects that core value across all of our operations. I will now turn the call over to Sergio to discuss in more detail our financial results.
Sergio Chavarria Munera: Thank you, Daniel, and good morning, everyone. Turning to our financial results. 2025 was defined by record growth across every major metric. This growth was driven by a favorable gold price environment with the average realized price per ounce sold reaching $3,474 for the full year and $4,179 in the fourth quarter. This represents exceptional price realization. Our full year average surpassed the market benchmark, reflecting our disciplined approach to maximizing value in a constructive gold price environment. As per our financial results for the full year 2025, as Daniel mentioned it earlier, our annual revenues hit a record of $800 million with an increase of 48% compared with 2024. Our gross profit reached $326 million, up by 77% of our net profit amounted of $145 million, a 68% year-over-year improvement. I would also like to highlight that Mineros surpassed $145 million in net profit, representing a 68% increase over 2024, as mentioned before. We had adjusted EBITDA of $358 million for 2025, representing a 71% increase over fiscal year 2024. Also, our net free cash flow hit a record of $138 million for the year with $32 million of net free cash flow in the fourth quarter alone, as we previously highlighted. As per our quarterly results, the fourth quarter saw revenues of $261 million, a 74% increase compared with the same period in 2024. This growth influenced the entire income statement as our gross profit reached $106 million, up by 94% and our adjusted EBITDA doubled to $115 million, a 101% increase year-over-year. Net profit for the fourth quarter was $9.4 million. We generated free cash flow of $32 million in the quarter. These results for the quarter are particularly strong when you consider the strategic investments and legacy items we addressed. Even after accounting for the acquisition of an 80% interest in the La Pepa Project and the settlement of the Nicaraguan tax authority dispute, the business generated a record-breaking value. Moving to our cash position. Our balance sheet remained exceptionally strong. We ended the year with $108 million in cash and cash equivalents, a very strong net position of $93 million, composed of cash and cash equivalents of $108 million, as previously mentioned, and on top of that, account receivables from our refineries of $26.3 million, offset by credits and loans of only $15.4 million. It is important to highlight that this exceptional result was achieved after significant onetime outflows, including $40 million for the acquisition of the La Pepa Project, $49 million in payments to the Nicaraguan tax authority, $12 million allocated to our share buyback program. At this time, I'd like to turn the call back to Daniel to discuss our operations.
Daniel Villamil: Thank you, Sergio. These financial results were, of course, propelled by a very positive gold price environment. As Sergio mentioned, the ounces we produced were sold at approximately $3,500 an ounce. But most importantly, we have delivered on the metrics that we can control. In the fourth quarter of 2025, we produced 61,000 gold equivalent ounces. The average price of the gold in the fourth quarter of 2025 was $4,179 per ounce, a 57% increase compared with the fourth quarter of 2024. While we benefited from these record gold prices, we were not immune to sector-wide rising cost environment. Our consolidated all-in sustaining cost for the quarter was $2,486 per ounce. This was primarily due to the Nicaragua operations, where the higher gold price directly correlates to increased payments with our Bonanza Mining Partners. In Colombia, the weaker U.S. dollar negatively impacted our local cost base as well. Turning to a breakdown of our mines. Our Colombian operations performed well with an all-in sustaining cost of $1,891 an ounce. Production remained steady at 23,000 ounces for the fourth quarter. Most importantly, we successfully saw the new Aurora Plant start production. The continued strong performance at the Aurora unit remain a highlight of our Colombian operations. Given the excellent results we're seeing, we believe that additional Aurora units will be the primary engines for long-term growth and operational success in Colombia. At our Nicaragua operation, we produced almost 36,000 ounces of gold in the fourth quarter. And while all-in sustaining costs here are higher at $2,828 per ounce, this is largely due to the high proportion of mining partner contributions, which are paid as a percentage of the spot gold price. Cost, volumes and efficiencies in Nicaragua will be a significant part of our focus in 2026, which I will talk about more shortly. Finally, in Mineros, safety is a core value. Our lost time injury frequency rate remains low at 0.9 in Colombia and an impressive 0.16 in Nicaragua. In practical terms, this means that for every 100 people working at Mineros over the course of the year, including both employees and contractors, there was less than 1 injury significant enough to prevent our colleague from returning to work the following day. This metric is a primary benchmark for how effectively we are protecting the safety and integrity of our workforce. Looking ahead, our strategy is focused on securing the future by removing historical bottlenecks, delivering growth and investing in exploration. For the coming year, we're projecting consolidated gold production between 213,000 and 233,000 ounces of gold. On average, we're guiding 10,000 more than in 2025. In Colombia, we're expecting our production to be between 83,000 and 93,000 ounces for 2026 with a margin of 11% from our contract mining partners. As for Nicaragua, we are expecting production within a range of 130,000 to 140,000 ounces of gold with a margin of 35% with our Bonanza Mining Partners. As for our 2026 capital investment program, we will be investing a total record of almost $114 million for CapEx and exploration. A significant portion of our growth CapEx will be focused on Nicaragua. We will be investing in the Hemco Plant expansion, which will take us from 1,800 tonnes per day to 2,500 tonnes per day. That's almost a 40% increase in processing capacity this year. We will also be investing in mine development to support this increased throughput. Additionally, we're also evaluating adding 1,000 tonnes per day mill to the Hemco Plant. In Nicaragua, we have significantly more mineral that we can process. This is a very big focus for us at the moment. We are also working hard on improving plant recoveries, which have gone up from 87% to above 90% in recent months. Finally, we will also be investing in technical studies at Porvenir, a deposit situated along strike and just southwest from our 2 operating underground mines. The Porvenir technical study will be released with the resource statement of our operations before the end of March 2026. In Colombia, capital expenditures will be focused on increasing recoveries and achieving operational effectiveness. Sustaining CapEx for Mineros will be focused on ensuring operational continuity. Regarding exploration, I am very excited to also announce the launch of the most aggressive exploration program in the history of our Nicaraguan asset. We will, of course, be working on resource-to-reserve conversion, near-mine follow-up drilling from the drilling completed in 2025. But for the first time in the history of the property, we will be exploring very exciting greenfield targets within our very prospective Nicaragua portfolio. We will also release a comprehensive resource and reserve update for Nicaragua in the first quarter of 2026. Finally, we'll be investing in the La Pepa Project in Chile with the objective of increasing the size of the deposit, as well as an overall derisk of the asset on multiple levels. 2025 has been a year of exceptional execution across the board, demonstrating the strength of our operating model and a proven track record of achieving our production guidance. We had a record-breaking financial year with $800 million in revenue, $360 million in adjusted EBITDA. This robust cash flow allowed us to maintain a very healthy cash position while at the same time, returning $42 million to our shareholders through dividends and buybacks. With the acquisition of La Pepa, we secured full control of a high-quality asset in the Maricunga Gold Belt in Chile, one of the most prolific gold districts in the world. With a clean balance sheet, a safe and productive workforce and the continued success of units like Aurora and the expansion of the Nicaragua processing facilities in Nicaragua, we're very well positioned to carry this momentum into 2026 and deliver long-term value for our shareholders. Thank you for your time, and thank you very much for your trust in Mineros.
Elizabeth Wilkinson: Now with that, we'd like to open the floor to questions. And our first question this morning will come from Ben Pirie. Thanks, Ben, for joining us on this call. So what kind of cost pressures are you seeing for the 2026 guidance? Is much of this increase a result of the higher gold prices and the higher cost to purchase ore? Or are you seeing cost pressures elsewhere as well?
Daniel Villamil: Thanks, Ben, for your question. The answer is yes. A big part of it is related to gold price. As you know, our Bonanza Mining Partners are paid a percentage of spot price. Therefore, as the gold price goes up, our cost basis on the Bonanza side goes up as well. However, we're also working in several other initiatives to increase volumes and recover our economies of scale in the mine -- in our mines. So as I described before, we're going to be investing a lot in our processing facilities. Processing right now is the main bottleneck of our Nicaraguan operations. We're constrained at 1,800 tonnes per day, so we're going to be going to 2,500 tonnes per day this year itself. And that will bring -- with that, we will bring tremendous economies of scale, particularly in our mines. Historically, the Bonanza Mining program has been very profitable for the operations. So what the company has done is to give -- it has given priority to that side of the business and our own mines have suffered because of that. So we have -- just to give you an example, in 2024, we produced close to 35,000 ounces in our industrial mines. And last year, we went down to around 22,000 ounces. So that makes no sense. That's the immediate priority. That's what we're working on. We're going to go full steam ahead with our own industrial mines, recover the economies of scale, and we're going to be achieving that through the increased throughput at our processing plant and investing in mine development. All of that is included in the capital program that we have for this year. As I mentioned before as well, we're working hard on recoveries. That is important because we have paid for the mining costs. We have paid for the processing cost. And this is -- it goes straight to the bottom line. This is extra profit that we make. So that 3% extra recoveries that we have already achieved translate into tens of millions of dollars of extra benefit for our Nicaragua operations. So that's on recoveries. And last but not least is grade. We are working very hard on increasing our grades, not only in our industrial mines, where we're putting a lot of attention now to things like dilution, having a very smart mine plan, but at the same time, incentivizing our Bonanza Mining Partners to deliver higher quality ores. We are already seeing that. We're removing historical bottlenecks in our operations, historical barriers for these high grades to be delivered to our plants. And we're starting to see grades denominated in ounces per tonnes, not grams per tonne, which is very exciting. It speaks to the quality of our portfolio in Nicaragua. And that's actually guiding our exploration efforts as well. This is a 150,000 hectare, very prolific district, and everything is to be done from an exploration perspective there. So just to mention or go back to your question on cost. The main goal is recovering our economies of scale, particularly in Nicaragua. In Colombia, we have suffered from a weakening dollar. Our costs are in pesos, so that's putting some pressure. The main drivers of increased costs on the Bonanza Mining side is higher gold prices, but we will recover economies of scale, and we will be working very, very hard on costs in 2026. That's the main agenda.
Elizabeth Wilkinson: Moving forward. So Ben has a follow-up question. And also, we have a question from [ Nicolas Luiz Reyes ] that are related. So Ben and Nicolas asked, could you comment on the elevated taxes in Nicaragua in 2025? And what can investors expect in 2026? And a very related question, Nicolas asked, is that a onetime charge?
Daniel Villamil: Perfect. Thank you very much for your question. So the size of it, the close to $50 million payment is a onetime event. This is a legacy issue. These were -- the claim was unpaid taxes from 2019 to 2024. As you noticed in the CapEx that we're guiding, we will be investing a lot in Nicaragua. We see a lot of growth opportunities in Nicaragua, and it is very important for us to have a constructive relationship with the governments that host us. So that was just not a positive situation. We wanted to focus in our operations. We wanted to focus in our mines, do what we do. So we thought it was best just to resolve that legacy issue, pay that money and go back to our mines. So that's what we're doing. It is a onetime event. However, there is going to be an impact in costs going forward. Sergio, what's going to be the impact?
Sergio Chavarria Munera: Yes. For -- going forward, we're going to have an effect of additionally around $8 million in ad-valorem tax in Nicaragua.
Elizabeth Wilkinson: Excellent. So moving on, [ Michael Matheson ] has a question, and I think that we probably partially answered this. All-in sustaining cost per ounce were up significantly in 2025. Much of that was just the increase in the price of gold reflected in the price you paid our mining partners. But there are some increases in labor costs. Do you think labor costs, specifically, will be stable in 2026? Or should we expect further increases?
Daniel Villamil: Thanks, Mike, for your question. So okay -- so I mentioned the main agenda already, so volumes, recoveries, grades, those are going to be the main drivers of lower costs in the coming years. But you're right, there is significant cost pressure as well from a labor perspective. What we're doing there is that we are optimizing our teams. We already actually did that recently. But we're working more on being more productive, more efficient, so incorporating AI tools, automating parts of our processes, we are adopting technologies in our operations, so we become more competitive. So that is happening. The increased cost, particularly in Colombia is significant. But, as I mentioned, we already took measures to lower the impact of that going forward.
Elizabeth Wilkinson: Okay. And Michael had a follow-up question. So we recently increased our stake in La Pepa to 100%. Do you have a forecast of when mining operations will begin at La Pepa?
Daniel Villamil: Perfect. So La Pepa is an exciting new jurisdiction for Mineros. As you all saw, we acquired that last year from Pan American Silver. We're starting at a very good base with about 2 million ounces in resources, but it is an exploration stage asset in a very prolific gold district surrounded by producing mines, surrounded by advanced development assets. It's looking very interesting. We think there's a lot of growth potential there. But we have to do the work, we have to explore, and we have to derisk the project. Particularly from an environmental perspective, this is a sensitive part of the world, and we want to do -- we're doing all the work we can do right now to fast track this asset. This year, we're going to be working on producing the natural time line that -- one that we can deliver on. But right now, it's at the assessment stage from a time line perspective and from a production perspective.
Elizabeth Wilkinson: Next question is from Justin Chan and he's talking -- he asked about, from a modeling perspective, when would you suggest modeling the ramp-up to 2,500 tonnes a day at Hemco? And how many months do you expect it to take to reach steady state of 2,500 tonnes a day?
Daniel Villamil: Justin, thanks for your question. So already, we're working on that. So we are already at above 2,000 tonnes per day. So we -- the very fast adjustment that we could do to our processing facilities we've done. And we expect to be at 2,200 tonnes per day by June and then by December be at 2,500 tonnes per day. So that's -- it's going to be incremental increases. In parallel, we're going to be working on the engineering to add 1,000 tonnes per day mill to the Hemco Plant. We have an incredible situation in Nicaragua, where we have way more mineral than we can process at the moment. So as I mentioned before at the call and previous answers, that's our focus, debottlenecking that so we can take advantage of this abundance of mineral that we see all over our properties at Hemco.
Elizabeth Wilkinson: So Justin has a follow-up question for Sergio on a cash flow basis. So on the $83 million income tax liability, should we assume this is paid equally quarterly? Or if not, could you provide some color on the timing of tax payments?
Sergio Chavarria Munera: Yes. Actually, for timing on taxes, we are going to pay taxes during the first semester of 2026, expected to be major payment during February. And at the end of May, we're going to have the remaining balance to be paid to Colombian tax authorities.
Elizabeth Wilkinson: And we have a follow-up question from Ben Pirie. 2025 was a strong year for shareholder returns, which speaks to a supremely healthy balance sheet. Do you expect this will continue into 2026? Or will capital allocation be focused on growth?
Daniel Villamil: Thanks, Ben. And I think that connects with other questions that we have received. Return to our shareholders is a priority for us for sure. And Mineros has an impressive track record of delivering a lot of value to its shareholders for decades. So ideally speaking, we do want to continue with that, delivering strong dividends. Last year, we had our inaugural buyback program, which was also successful. So last year, we delivered about $42 million to our shareholders. And in Colombia, just to be clear, that is actually a shareholder decision. That's something that we will take to the shareholder assembly that is going to happen soon, and shareholders will decide on that. From a management perspective, we think we can do both. We can continue delivering good dividends. But we think shareholders and the company itself is -- should invest in its growth, should invest in its assets. We are already seeing what investment in our own operations can do. So that's the plan. I think -- personally, I think we can deliver good value to our shareholders, both in the form of dividends and buybacks. But at the same time, invest in our assets, and we're being rewarded by doing that. You saw the performance of our stock in the last 2 years. We've gone up above 1,000%. That's very impressive. So that's also capital return to our shareholders. And so that should be appreciated as well. So that's long story short, what we think we can do both.
Elizabeth Wilkinson: So the next 2 questions kind of flow naturally into that. So [ Rahul Arora ] asked, does the company plan to acquire Tier 1 assets in exploration stage to further our global growth strategy?
Daniel Villamil: Thanks, Rahul, for your question. The answer is, yes. But I'm going to give you some context. We are prioritizing ideally producing assets. But that -- it's become -- it's a very challenging environment from an M&A perspective. Assets are trading at very high valuations. So we're being very cautious, very disciplined as well. We want to preserve our per share metrics. So we don't want to dilute ourselves a lot and just grow because we want to grow. We want to be very cautious with the return to our shareholders on a per share basis. So our focus right now is producing assets. But as I mentioned, that it's looking challenging to find value in that segment. So we are now scouting for advanced development opportunities throughout the Americas, and in some cases even looking at some other parts of the world, good jurisdictions where we can grow. So advanced development opportunities, assets that we can take into production and take advantage of this very positive gold price environment are the second priority. But of course, we are opportunity driven. This is -- the new vision of Mineros is to take the good opportunities that present. So if a good high-quality exploration asset comes, we would love to take a look at it. And if it makes sense for Mineros, we would love to do it. We need a strong -- we are building a strong pipeline of assets as we move into a growth phase.
Elizabeth Wilkinson: So next up, we have 2 kind of related questions, one from [ Jaime Alvarez ] and the second one from [ Andre Pulido ], and they relate to knowing more about Nicaragua, the initiatives that we have to augment our production there, the work that we're doing on exploration and a little bit more about Porvenir. And additionally, Andre has kind of expands on that, trying to understand the Bonanza model and the success there and how we may be working to reduce our reliance on our Bonanza Mining Partners to process more of our own tonnages from our underground mines.
Daniel Villamil: Okay. Perfect. So I think I spoke enough about our main initiatives in Nicaragua, again, increasing volume, increasing recoveries, improving the grade that we feed to our plant that, of course, is the main driver. We don't want to be in the historical position that the company had. That we had to choose between A or B. We believe we can do A and B. We can mine our mines full steam ahead, and we can process our partner minerals. That's the main agenda. We don't want to have to take that decision. We want to take advantage of all the opportunities, both from our mines and from the Bonanza Mining Partners. Speaking about Porvenir, which is -- it's also an exciting opportunity that we are working on right now. The latest information that was published to the market was back in 2023. That was a pre-feasibility study. It was already looking attractive at $1,500 gold price. So after putting a lot of work into that asset, we've explored. We've been investing a lot in engineering, and we've been pushing hard on permitting as well. So hopefully, that becomes our -- one of our next mines. Just for everyone's context, this was an asset according to the pre-feasibility that we had published that was going to produce about 60,000 ounces of gold, 110,000 ounces of silver and then about 40 million pounds of zinc. And it had an all-in sustaining cost below $1,000 an ounce. Again, it was a project that was economic. It was looking good at $1,500 gold price. So at the current gold levels, it should be a very attractive asset. Things have changed a lot in Porvenir. We, as I mentioned, we've been exploring. We are doing a lot of engineering. The layout of the processing facility is going to change. We're designing it in a way that it can grow beyond the current -- beyond what we're seeing. And we're going to be adding very likely a copper gold flotation circuit at the beginning, which will produce a high-quality copper, gold concentrate and will simplify our metallurgy for the rest of the process. So this is the update on Porvenir is going to come out in the first quarter this year together with the resource update for our Nicaragua operations. So stay tuned for that. It should -- it's an exciting asset, and we want to push it forward as soon as possible as well.
Elizabeth Wilkinson: So back to the balance sheet, and Justin Chan follows up. So the tax payments -- Sergio, the tax payments will be paid in Q1 and Q2 to just follow up on your answer?
Sergio Chavarria Munera: Yes. To follow up on that question, yes, we will be paying that amount during the first semester.
Daniel Villamil: Just to -- something very valuable, Justin, that we do in Colombia. We have this mechanism called [Foreign Language] that Mineros has pioneered. And basically, it's a regulation that allows Mineros to pay its taxes by delivering infrastructure projects. So we -- this year is going to be exciting from that perspective. We're going to start building a large school in El Bagre. So it's going to -- we're going to be covering about 1,000 students in our community by paying our taxes. It takes a lot of management bandwidth because it's building a large school, but it's totally worth it. We will be investing in our communities, and this is an amazing mechanism that we have in Colombia. So that's taxes, but it's also the kind of social work that we like to do at Mineros.
Elizabeth Wilkinson: So we have some important questions coming in about Nechi, but I think we'll stay focused in Nicaragua just for the next minute or so. We have a question in from [ Walter Bacerra ] [Foreign Language] and Walter asks, he wants to dig in a little bit more comment about our objectives around about recovering silver.
Daniel Villamil: Thank you. Thanks for the question. So that's actually quite exciting as well. We're seeing a lot of silver in our Hemco Plant. Before we were not paying attention to that in our efforts on the recovery side of things. So as we started taking a good handle of the processing side of things in Nicaragua, we said, well, there's a lot of silver coming through our plant. Silver is having record prices, trading at above $100 an ounce, so we started paying a lot of attention to silver. Silver became a significant portion of our revenues last year, and we expect that it will continue that way. We're investigating this a lot because to be totally honest with you, we do not know exactly where the silver is coming from. It's coming from our Bonanza Mining Partners for sure. But exactly from what part of our portfolio, we don't fully understand yet. So that connects to the whole exploration initiative and what we're doing from that side, which is also the most aggressive exploration program. So we're understanding the plant is becoming a very valuable tool for us to explore our district.
Elizabeth Wilkinson: So I think we covered Nicaragua. And I think we can turn now to Nechi. And we have a question from [ Manuel Rodriguez ]. With respect to Nechi and with respect to gold grades and recovery rates in our operation, what are our expectations would be in relation to the new Aurora Plant and our scavengers?
Daniel Villamil: [Foreign Language] Manuel. Perfect. So in Nechi, that's the focus, efficiencies, recoveries. We are adding more recovery circuits to our operations. We are not expecting -- right now, given the situation in Colombia, we're exercising a lot of caution. So very large investments in our Nechi operations are not expected yet. We would be happy to double down if we see a more constructive environment. So the focus right now is exactly what you mentioned, improving recoveries, being more efficient in our operations. We're evaluating multiple alternatives to improve our revenues and our profitability in Nechi. So initiatives, as you mentioned, like the scavenger, like the Aurora Plant, they're all being worked on. We're doing a lot of engineering, optimizing studies to improve the recoveries in Colombia as well.
Elizabeth Wilkinson: And to follow up, and this is probably more broad-based with the 2 operations. Sergio Torres has a question about the -- about our efforts to increase the number of ounces of production in 2026. And asking about inorganic growth or will the focus be solely on technical improvements?
Daniel Villamil: Thank you. So the answer is both. These 10,000 ounces are going to come from our own assets. But we have added a lot of muscle to our technical teams, and we're scouting for opportunities globally that make sense for Mineros. So if inorganic opportunities come at the right valuations, we would love to exercise those.
Elizabeth Wilkinson: So moving to our newest asset, the 100% interest that we own in La Pepa in Chile. [ Jorge Pareja ] asks, how are the results for La Pepa going? When can we hope for production from La Pepa?
Daniel Villamil: That's actually a very good question, one that we're trying to answer. But to be totally honest with you, as I mentioned, it's an advanced exploration asset. We need to explore more. We need to derisk the asset, and we need to understand better our time lines. We hope it becomes a mine in the near future. But at this point, we're working on the plan to bring that to our time line. So that it's a new asset. We have a new team, and they're working in producing that time line for us.
Elizabeth Wilkinson: So just as a follow-up, Sebastien [indiscernible] asked, are there any additional studies for La Pepa Project, PFS, PEA, are they planned for this year?
Daniel Villamil: So it connects to the previous question, not to this year. We're doing all the -- we are doing all the environmental studies. That's actually the starting point. And we're going to be drilling as well, understanding the landscape, understanding all the regulatory process there. We're going to start imagining how a mine would look like there. We have very clear benchmarks. The Phoenix deposit just north immediate to us, just went into production, and they're showing us how it can be done. So that's a good benchmark for us. But at this point, it's an advanced exploration asset for us.
Elizabeth Wilkinson: So moving just kind of up to the company in general. There are a number of questions about our dividend policy going forward and our propensity to buy back our own shares, and this is just coming from 5 or 6 individuals. So I put that to you in a bulk question, Daniel.
Daniel Villamil: Okay. Perfect. No surprise there, and thank you very much. Look, from a dividend perspective, as I mentioned before, that's actually a shareholder decision, not a management decision. The policy -- the current policy is to distribute about 15% of our net profit. That translates to an annual regular dividend of approximately $30 million with the latest financial results. That's just the policy from a management perspective. We think, as I mentioned earlier, that we can continue delivering dividends. We like the buyback mechanism. We think it's very efficient for -- especially for our North American shareholders, which are becoming increasingly important in our story. And then we will work very hard in continuing returning these impressive capital returns to our shareholders. So it's a package. And as we invest in our assets, as we invest in our company, we expect that, that will translate in more value to our shareholders as well.
Elizabeth Wilkinson: Okay. So a much broader-based question from [ Sebastian Carvajal ]. Considering the volatility in the price of gold and the cost of our operations in a macroeconomic context, what is our strategy -- what is Mineros' strategy to protect shareholder value in the medium and longer term? Specifically, what do we intend to implement to increase our revenues and sustainable value for our shareholders?
Daniel Villamil: [Foreign Language] Sebastien. So that's actually an important question. So when somebody started getting involved with Mineros, the mandate was actually to remove all hedging policies that the company had before. We were swimming against the current. We were swimming against a very strong bull market. So for the last couple of years, the company have been enjoying this impressive gold rally. As you said, that has translated into -- as you saw, that has translated into record economics for our operations. And so right now, we don't have any active hedging policies. We are enjoying the prices that we're seeing right now. But of course, at $5,000 gold, our Board is already evaluating hedging instruments as part of our broader risk management approach. So it's something that we're looking at cautiously. We're monitoring. We're talking to our finance teams, our advisers. But the market, in general, is guiding a very constructive gold price environment. So I think we are, generally speaking, in agreement with most large banks that are seeing a very positive gold price environment. Recently, we have been more active in the market with certain financial instruments to protect ourselves. But generally speaking, we're mostly exposed to the gold price.
Elizabeth Wilkinson: So we have 2 related questions from Sergio, Daniel, Torres Otero and Walter Bacerra about, can you elaborate on our investigation of redomiciling the company and the investors would like to know a little bit more about that.
Daniel Villamil: For sure. So look, the company has been pushing very hard on converting into an international story. We no longer want to be the company in Avenida El Poblado that is very well known to Medellin and to Colombians. We want to be a company that people recognize in the gold space internationally. So the company took the first step listing in TSX back in 2021. That was a very positive step that the company took. But still, we are mostly ignored by the market. We are -- we actually have a very aggressive marketing agenda this year to get the story out, to get our investors throughout the world to get to know the story of Mineros, which we are convinced is a great story. It's a great opportunity for them. So we expect to go to other markets, get -- hopefully get listed in other exchanges. And as part of that, we need to explore the redomiciliation initiatives, so we -- our company can be recognized in other exchanges.
Elizabeth Wilkinson: So turning to [ Alina Islam ]. Can you clarify your comment on acquiring assets? Are you prepared to look outside America or...
Daniel Villamil: Yes. Thanks, Alina. And this is something that we have changed. Look, we are not in a market where we can be very picky anymore. The reality is that we can -- we want to take the advantages -- the best advantages that the world has to offer for Mineros. So if it happens to be in Australia or in Europe, why not? If it's the right opportunity, at the right price, with high-quality asset in a decent jurisdiction, we're happy to go there, do the homework. And if it makes sense for Mineros, then do it. So we are no longer constrained by Latin American assets. We're looking globally for opportunities.
Elizabeth Wilkinson: And there are 2 questions that came in that, in my mind, are opposite sides of the same coin. [ Gustavo Zapala ] asks, what are our investment plans for the year? And Sebastien [indiscernible] asks, are there any plans to reduce debt or to increase our leverage during the current fiscal year?
Daniel Villamil: So reduce debt, like we've done that. We have negative debt at the moment. The debt that we have is debt that makes sense because of the -- just the tax benefits that we get. These are leasings and stuff like that. So we've paid all the debt that made sense to pay. We have a very healthy cash position. As Sergio mentioned, over $100 million. We have very significant account receivables from our buyers, from our refineries. So we have a very healthy liquidity situation. So there's no more debt payments coming. We paid what we can pay. From an investment perspective, as we have mentioned throughout the call, we are going to be investing over $100 million in our assets. A big portion of it is going to go to Nicaragua, where we're hopefully going to convert that into immediate ounces, immediate return. So we're prioritizing the investment that make most sense to our company from a capital allocation perspective. And that's the discipline that we have at Mineros. We're going to put our money where we will get the best return for it.
Elizabeth Wilkinson: So -- and my mistake, I misread. So are there any plans to issue debt or to increase our leverage. My mistake.
Daniel Villamil: Okay. Perfect. No problem. So yes, that's something -- we don't have a very efficient capital structure. We have no debt. So for the right opportunity, the answer is yes. As we grow, if there is an attractive project and that requires some leverage, some debt component, we would be happy to take some debt. Again, we have $360 million in EBITDA this year and virtually no debt. So the company can take some leverage for its growth initiatives.
Elizabeth Wilkinson: So we left the trick question for last. What are our projections for revenues, profits and adjusted EBITDA for 2026?
Daniel Villamil: So the answer to that is our guidance. We are guiding 10,000 ounces more this year. The math is going to be -- is going to address that depending on the gold price that we end up getting. But the cost is what we guided, the production is what we guided and the gold price is what the market delivers to us. What I can tell you is that from a gold price environment, we're seeing a very constructive situation that should translate into -- hopefully, another record year for Mineros, but we'll see what we get, but it's looking very positive.
Elizabeth Wilkinson: And that's our last question for today. So we want to thank you very much for joining us on our year-end and fourth quarter conference call. I'm going to turn the call back over to Daniel, to you have any last words?
Daniel Villamil: Perfect. No, thank you very much, everyone, for your interest, for your time, and thanks for your trust in Mineros. We're going to be working with our team to continue delivering impressive results to you. So thanks, everyone, for connecting.